Carl Cowling: Good morning, everyone. I'm Carl Cowling, Group CEO, and I'm here with Robert Moorhead, our Group CFO and COO. Thank you all for joining. It's great to see those of you who are here in person, and welcome to everyone who has joined the webcast. As usual, we'll give you an update on our performance for the 12 months ending 31st of August 2022. And we'll also run through the highlights and important strategic tenders we have won across the globe. So in a moment, I'll hand over to Robert, who will take you through the numbers, including a brief update on current trading, and then I will take you through the operational performance of the business, and we'll end with your questions. So before handing over to Robert, a quick overview from me and turning to Slide 3. So we've had a strong year, and the group is trading ahead of 2019 levels. As a result of the actions we have taken, the group is now in its strongest ever position as a global travel retailer. We continue to capitalize on the multiple growth opportunities using our broad suite of brands and global expansion program. And the resumption of the dividend reflects the strength of our current trading and a high level of confidence going forward. As you'll hear as I go through the presentation, we have had another very successful year in winning new business in North America across the Rest of the World and in the U.K. We now have 150 stores won due to open with over 125 of these scheduled to open in the current financial year. It has been a year of intense activity. And at the core of everything we do and a key driver of our success is our ongoing forensic approach to retailing across each of our divisions. Turning to the next slide. Before I hand over to Robert, I thought it would be helpful to talk you through the shape of the group as it stands today. First and foremost, we are now a global travel retailer. As you all know, we do have a robust and cash-generative U.K. High Street business. However, the growth engine of the group is our global travel business. When I was appointed CEO just over 3 years ago, we had a very good travel business, which was growing fast. Fast forward 3 years, and despite the pandemic, the group is now in an even stronger position. Though the pandemic was very challenging, we used the time well in terms of strengthening our travel business internationally. Firstly, we have been able to harness the MRG and InMotion acquisitions made in 2018 and 2019. And since acquiring these businesses, we have already won a further 63 stores in the U.S. These businesses have not only allowed us to establish an important presence in the U.S., the world's largest travel retail market, but they have also improved our international position. The launch of InMotion across all major U.K. airports is a standout example. More generally, we are confident of seeing consistent market share growth across travel retail as we continue to capitalize on the many opportunities across the globe. And we are now realizing both the international capability of our WH Smith branded travel business as well as the broad suite of brands we continue to roll out. Most importantly, we also continue to benefit across all our divisions from our forensic approach to retailing. I'll now hand over to Robert, who will run through the numbers.
Robert Moorhead: Good morning, everyone. Let's start off with the group financial summary. And as usual, the numbers I'm going to refer to are pre-IFRS 16, and there's some bridges to IFRS 16 in the appendix. We had a good year and saw a significantly improved performance in 2022 with headline profit for the year coming in at GBP 73 million, which was slightly ahead of company compiled consensus and an improvement on last year of some GBP 128 million. Revenue at GBP 1.4 billion was up 58% on last year. It was also ahead of 2019 driven by a second half where revenue was 13% ahead of 2019. The free cash inflow was GBP 41 million, reflecting the additional profit and the significant uplift in investment in the year, and I'll come on to that later. We finished the year with cash on deposit of GBP 101 million and available liquidity facilities of GBP 250 million, giving us significant capacity for the investment opportunities we see across all geographies, but with a notable emphasis on the U.S. CapEx in the year was GBP 85 million. And this year, we expect it to be around GBP 150 million, reflecting the size of the growth opportunities we have. Reflecting our strong current trading and our confidence in the outlook, we have reinstated our dividend. The Board is recommending a final dividend of 9.1p per share for FY '22, which implies a cover of 3.0x. Our dividend policy is to return in time to a cover of 2.5x and more on our capital allocation policy later too. Moving on to revenue on the next slide. Total group revenue was GBP 1.4 billion, significantly ahead of last year, driven by travel and for the year as a whole, slightly ahead of 2019. This is, in fact, the highest revenue number the current group has reported since its creation in 2006, which really shows the progress that we've made. This has come from a very strong recovery in travel across all 3 divisions, particularly in the second half when the group was 113% to 2019 and travel 130% to 2019. This performance came with passenger numbers still well below 2019 and with our like-for-like revenue for travel at 92% of 2019, demonstrating there is still recovery to come. Travel was 2/3 of group revenue in the year. And this year, we expect it to be over 70% of group revenue as it continues its strong growth. Before moving on to our U.K. Travel business, I want to update you first on our North American business where we see continued strong performance, both in airports and in Las Vegas. TSA data improved to down 9% by August and has stepped forward again in October. Our North American business is now our second biggest business by profit after U.K. Travel with significant scope for further growth. Rest of the World saw the strongest pickup as markets opened up and we open new stores. And there is more to come here, too, as Asia and Australia are still well below 2019 passenger numbers. In total, for travel, we opened 98 stores in the year. High Street, including our Internet businesses, generated revenue of GBP 473 million. Our store business was pretty consistent over the year compared to 2019 and were slightly ahead of 2021. Funkypigeon generated revenue of GBP 35 million. And we're pleased with the start to the new financial year with travel after the first 10 weeks at 148% of 2019. This does include currency benefits from the weakness of sterling of around 7 percentage points. High Street has also had a good start. So let's look at U.K. Travel in a bit more detail on the next slide. U.K. Travel remains our biggest division. And as I'm sure you all know, pre-pandemic, Air was our biggest channel with hospitals, having overtaken rail to be the second biggest. Hospitals and rail have remained resilient, and we saw a marked pickup in Air over the key summer period. Rail was at 90% of 2019 in Q4, a notable performance compared to some views on the future of this channel in the midst of the pandemic. The performance in Air reflects our successful focus on ATV, category expansion and the rollout of the 13 InMotion stores, and we now believe this brand can deliver annual sales of around GBP 80 million to GBP 90 million in the U.K. alone. The Air performance also includes the airport and airline disruption over the summer as well as passenger numbers still well down on 2019. So there is more to come in this channel. During the year, we opened 38 stores. And on an ongoing basis, we see 10 to 15 new stores each year in the U.K. Travel, which will be across all 3 channels. So turning now to the income statement on the next slide. So headline profit before tax for the year was GBP 73 million compared to a loss of GBP 55 million last year. Travel delivered a profit of GBP 89 million compared to a loss of GBP 39 million last year, an improvement of GBP 128 million. We are particularly pleased with this performance, given it included disruption from Omicron related travel restrictions over last winter and logistical problems in airlines and airports over the summer. In U.K. Travel, profit improved by GBP 86 million to GBP 54 million, driven by the recovery in sales and stronger margins. In North America, we saw an improvement of GBP 25 million to a profit of GBP 31 million. Like the U.K., this was driven by sales and improved margins. The group is exposed to movements in the dollar exchange rate when translating the results of the U.S. operations into sterling. Current consensus suggests an exchange rate of around GBP 1.30 to the pound, a $0.10 move results in a change to full year profit of around GBP 3 million. In the Rest of the World, likewise, we saw a good improvement and a swing of GBP 17 million, benefiting from an improving performance, particularly in Europe. As the revenue of the businesses recover, the operational fixed cost impact will result in an improvement in margins and profitability. High Street delivered a profit of GBP 33 million, as expected, an increase of GBP 14 million on the prior year. And don't forget that the prior year included GBP 30 million of government support on rates. The benefits of the restructuring undertaken during the pandemic and our continued focus on all cost lines, for example rent, drove this performance. We still see significant scope for cost savings and the business is on track to deliver around GBP 12 million of cost savings in this financial year. Funkypigeon generated an EBITDA of GBP 8 million in the year. Overall then, group profit from trading operations was GBP 122 million. Central costs are higher. This reflects increased share-based payment costs as well as GBP 2 million of costs relating to the implementation of our new payroll system, which previously would largely have been CapEx and now has to be treated as OpEx under the new accounting guidelines for software as a service. Financing costs of GBP 25 million includes noncash amortization costs of GBP 8 million relating to the convertible, which let me remind you, has a fixed coupon of 1.65%. So that led headline profit before tax at GBP 73 million. So turning now to cash flow on the next slide. Our overall free cash inflow for the year was GBP 41 million. There are 2 key stories here. First, we generated GBP 155 million of operating cash flows as the business returned to profit in the year. This demonstrates the continuing cash-generative nature of the group. Second, a significant investment in growing the business. CapEx in the year was GBP 83 million, including the new store opening program. We opened 98 new stores, including a further 22 in North America. We anticipate CapEx spend for this year to be around GBP 150 million, which includes opening over 125 new stores, reflecting both the opportunities we have, plus our confidence in the markets in which we operate. We have a small working capital outflow, which is primarily the investment to launch InMotion in the U.K. and also in the recovering travel business. We paid GBP 6 million in tax in the year. And based on current tax legislation, expect the group tax rate for the current year to be around 23%. So looking now at our net debt on Slide 11. Net debt at the end of the year was GBP 296 million, reflecting an overall outflow in the period of GBP 5 million. After the GBP 41 million of free cash generation, we then had a GBP 46 million outflow on nontrading items. Of this, GBP 16 million related, as I said at the interims, to non-underlying items as we completed the restructuring announced in the summer of 2021 in the High Street. You will see that we contributed GBP 2 million to our defined benefit pension scheme in the year. Following the purchase of a bulk annuity insurance policy from Standard Life using most of the scheme's assets announced in August, we have ensured the liabilities to pay all future defined benefit pensions, thereby reducing any potential volatility around the scheme. As a result, I'm pleased to say there is no longer any requirement to make any future contributions to the scheme. Other includes the noncash convertible bond accretion and noncash effects of foreign exchange. You'll remember that the bond is bifurcated into an equity and debt element where the debt element accretes to par over the life of the bond. This is around GBP 8 million per annum. So that left us with net debt at the end of August of GBP 296 million and with a good amount of cash of which GBP 101 million was on deposit. And our financing arrangements give us the capacity to invest. We have the GBP 327 million convertible bond, bank debt of GBP 133 million and the undrawn RCF of GBP 250 million, a total of GBP 710 million. And in a rising interest rate environment, it's worth pointing out that over 70% of that debt has a fixed coupon with a convertible bond paying interest at 1.65%, and the term debt is floating at [indiscernible] plus a margin. Finally, let me remind you of our capital allocation policy. And so turning to the next slide. We remain focused on our disciplined approach to capital allocation and our capital allocation policy remains unchanged. Firstly, investing in CapEx where returns are ahead of our cost of capital. Secondly, paying a dividend. You will have now seen we have recommended dividend payments. Our intention is to return in time to a policy of paying dividend based on a cover ratio of around 2.5x. Thirdly, undertaking value-creating acquisitions and then returning surplus cash to shareholders via share buybacks. Our leverage at the end of August was 2.0x EBITDA. We're targeting an efficient balance sheet and have a leverage target of between 0.75x and 1.25x EBITDA, reflecting the cash generative nature of our business. We expect to return to this over the next 12 to 18 months, including our significant CapEx program for this year. I'll now hand back to Carl to talk about the operational performance of the business.
Carl Cowling: Thank you, Robert. Let's start with travel, which as I explained at the beginning of the presentation, is the growth engine of our business. So turning to the next slide. I know that many of you are familiar with our strategy, but let me reiterate the 4 key pillars that will continue to deliver sustainable growth. Firstly, increasing the quantity and quality of our space. This includes our ability to develop and evolve our formats, which we've been really successful at over the past couple of years. Secondly, increasing average transaction value and conversion. We do this by re-engineering our ranges and continue to see a double-digit increase across all of our channels. Third, category development, where we continue to broaden our categories, for example health and beauty and tech. And the final driver of course focuses on cost and cash management, particularly as we look to invest for the future. So turning now to our biggest opportunity in travel and starting with North America. As I said before, North America is a very attractive travel retail market and is the largest in the world. It now represents around 50% of our international store estates, and there are significant opportunities for us to grow this business further, which I'll come on to. It is a robust market with 85% of U.S. Air travel being domestic and passenger data has shown a consistent and strong recovery compared to 2019 levels. Given the similar customer dynamic and high footfall environments to our U.K. Travel business, we have applied our forensic approach to retailing from the U.K. into the U.S. market, and we are seeing some really positive results. This includes space management and category development to higher-margin products such as health and beauty and tech accessories, better promotional activity and increased operational efficiencies such as introducing self-scanning tills which reduce labor costs. Similarly, in the U.K. and the Rest of the World, we can utilize MRG's expertise where appropriate, such as their localized store design concepts, which are a key factor in some of our new international business wins. As a result of the new business wins in the U.S., we expect this business to be larger in profit terms than our U.K. High Street business by the end of this financial year, making it a much more significant part of the WH Smith Group. Finally, before I turn to the scale of the opportunity, it's worth mentioning that our resource business in Las Vegas has also proven extremely resilient with a good recovery driven by new conference centers and events attracting more visitors. Turning now to Slide 17. And we have continued with our strong track record of winning tenders in the U.S. What is becoming increasingly clear is that we can provide landlords with a very attractive proposition and our tailored approach to store design and localization really does meet the individual needs of each landlord. All of this combined is therefore proving a very successful formula for us to continue to go on and win great tenders across the U.S. During the year, we've opened 22 new stores, we have -- and we have won a further 22. This now takes the total number of stores won and due to open in North America to 70%. Looking ahead to 2024, we expect to be trading around 350 stores in the U.S., and there is significant scope for us to win further new business both under our MRG and InMotion brands. Our analysis of the North American market shows us that there are a total of just over 2,000 new gift and specialty retail stores in the top 70 airports, giving us a small market share of around 12%. On the screen, we've pulled out the top 25 airports. And what they show is how many stores we have either opened or have won in each of those locations in the dark blue section. With the light blue section showing you the scale of opportunity in each airport in terms of the stores that are dedicated to our categories. If you take the world's largest airport as an example, Atlanta, which is around 3x the size of Heathrow, we have only 17 stores currently out of a possible 119 new and specialty stores within this airport. Compare this to Newark, where most of the retail space has been tendered over the past 18 months, and we've won around 40% of the available business here. This gives you an idea of the scale of opportunity available and we expect a significant amount of business to come to the market over the medium term. We are also moving into new channels, opening our first store in rail in the U.S. at Moynihan Train Station in New York and we've recently won a new store at Penn Station. Turning now to the next slide. So just to pull all of this together and bringing it to life and pictures of our stores in the U.S., we're really excited about the future and the scale of the opportunity. As I've already said, the U.S. is the largest travel retail market in the world. Using our expertise, we continue to be highly successful in winning new business under multiple brands, and we're an attractive alternative to weathers in the market. We are growing market share, but there is still plenty of share to go after, and the opportunities really are substantial as you've heard. All of this is underpinned by our forensic approach to retailing and the 4 key pillars of our strategy. Turning now to Slide 20 and our Rest of the World business. Outside of the U.S., WH Smith has a very low market share of the international travel retail market. As a result, there is significant opportunity to grow our footprint in new and existing territories through news, books and convenience and technology tenders using our 3 economic models of directly run joint venture and franchise. And I'm pleased to say that we've made significant progress in winning new business in the year with wins in Spain, Belgium, Italy, Sweden and Norway. This includes 38 new stores opened in the financial year and a further 76 due to open in the current financial year. Part of our success here has been utilizing our expertise and skills from the U.S. and bringing them to other countries. For example, we have been successful in winning tenders in new markets by creating a localized store design, drawing on local landmarks and popular cultural references to create a unique look and feel. This new approach has been extremely well received by landlords and gives us confidence in winning further stores across new territories. In addition, we have also won InMotion stores in Dublin, Gothenburg, Milan and Stockholm airports during the year. As we have done in the U.K., we are focused on areas within our control, including driving ATV and increasing conversion as well as developing our formats and we're seeing good results. And we continue to build in areas where we already have a presence, for example, Spain, which I'll come on to now. You will remember when we updated back in April that we have just won a significant and highly competed tender in Spain, comprising 31 additionally directly run stores, which now makes us the market leader in Spanish airports and will take the total number of stores we operate there to over 50. Thanks to the efforts of the team, we recruited over 100 new colleagues across 5 airports prior to the summer peak and opened 15 of the 31 stores by the end of August, all this despite winning the tender at the end of April. And I'm pleased to say that the stores are performing well. In fact, the store on the screen is a great example of how we executed our store opening program extremely well and at speed. And to give you some context, this store in Palma de Mallorca is trading at a higher sales per square meter than any of our other stores. And anecdotally, we're trading significantly ahead of the previous incumbent. We know there is more opportunity to go for, not just in the NBC markets, but also the tech accessories market and the InMotion brand. Turning to the next slide now and let's take a look at our U.K. Travel business. As you all know, this is our largest division, and we're a significant player in the U.K. It is in this market that we have brought real innovation to focus on the 4 pillars of our strategy to deliver sustainable growth. During the year, we have made really good progress in developing our formats and winning new and better-quality space with 38 store openings across all of our channels in the U.K. and we're on track to open a further 11 stores in the current financial year. We have a very strong customer landlord proposition tailored to each location and channel and a key area of focus in the year where we've seen some good success is our one-stop shop format, which I'll come on to in a moment. We continue to focus on customer conversion and driving ATV, where we're delivering good results. So a lot still to go for. As I've just said, space management and our ongoing focus on format development has continued to drive significant opportunities across all our channels. Throughout our portfolio, we are continuing to identify opportunities where we can reposition our traditional format of news, books and convenience stores to a unique one-stop shop travel essentials format. What we mean by this is extending our categories such as health and beauty, tech and food to go to provide customers with all their travel retail needs under one roof. We know from our larger store formats that customers like it, it's good for us as it increases ATV in spend per passengers and landlords also like it as it increases the pound per square meter of selling space. Moving on now to InMotion in the U.K. on Slide 25. And you'll remember that we bought the InMotion business back in 2018. And at the time, we knew there were good growth opportunities for this business, both within and outside the U.S. Since winning the tender for U.K. airports just over a year ago, we have now successfully opened 31 stores, positioning us as the market-leading technology retailer in travel locations globally. Tech Accessories is a strong growth market. And despite the first half of the year still being disrupted, we are pleased with the performance of the stores, and they're performing slightly ahead of our expectations. Both landlord and customer feedback has been positive. These stores combine the learnings and expertise from the U.S. as well as the results of extensive customer research in the U.K. to provide a first-class customer service experience and a combination of premium products from brands such as Apple, Bose, Sony and Samsung, as well as an extensive range of tech accessories. So turning now to our hospital and rail business on Slide 26. The hospital channel is an important channel for us and is the second largest in revenue behind the air. It is a robust market, and there are plenty more opportunities for us to continue to grow our space and improve the retail proposition. It is a great example of how we continue to innovate with a strong proposition tailored to each location with a broad suite of brands in addition to WH Smith, including M&S, Costa Coffee and the post office. Looking ahead, we have a good pipeline of opportunities where we see scope for at least 1 of our 4 formats in up to 200 further hospitals. Turning to rail. And rail is an attractive channel for us and has proven to be resilient. We have seen a very encouraging return of leisure passengers with the leisure and weekend passengers recurring the fastest, which is helping to drive our ATV growth. We know from our segmentation of return on space analysis that leisure is the customer segment which is most valuable to us. And we also continue to invest here in new formats and new opportunities to meet customer needs. Earlier in the year, we successfully aimed our first one-stop shop format in rail at Euston Station, including a pharmacy. This has been very well received by passengers with strong sales. In addition, we have opened a new standalone book shop at Edinburgh Station and our first rail store with a combined M&S food offer in Bristol. In the current financial year, we will be trialing an extended health and beauty offering across a further 8 major network rail locations, including Paddington, London Victoria and Liverpool Street stations. Turning now to Slide 27 and a quick summary on our overall travel business. We've had a very good year with a strong recovery across all of our travel markets, and we're now in our strongest ever position as a global travel retailer. In line with most industry commentators, we remain cautiously optimistic that passenger names will fully recover by 2024. Across each of our divisions, we have a robust plan in place to drive ATV and increase conversion. And we have a very strong pipeline of new space across all of our channels and territories, totaling 150 new stores won and due to open over the next 3 years with over 125 due to open over the next year. Going forward, we expect to win around 50 to 60 new stores per year across our global travel business. We are now the #1 technology retailer in travel locations globally with over 150 stores across the U.S., U.K., Europe and Australia, and our In Motion brand. And we expect further good growth opportunities across all of our channels. Turning now to our High Street and online business on Slide 29. And our High Street business generated good growth and profitability despite the well-reported challenges to U.K. High Street footfall. Our High Street strategy is as relevant today as it has ever been and ensures that the cash flow and profits of this business is sustainable. During the year, we delivered savings of GBP 42 million, slightly ahead of plan. These savings come from right across the business, including rent reductions at lease end of around 50% as well as logistics and supply chain efficiencies. As many of you know, we've worked hard over the past 10 years to create a very flexible lease portfolio in the High Street with short leases where our average lease length is now just under 2 years. This has set us up very well to respond quickly to changing market conditions. We have around 450 leases due to expire over the next 3 years. Given this rolling program of lease renewals, we therefore have further opportunities to renegotiate our occupation costs going forward and expect our rent reductions to remain a key component of our future cost reduction strategy. Even with years of savings, the High Street cost base is still substantial, and we continue to see further opportunities for savings. You can see on the table, our latest forecast for cost savings up to 2025. This gives us a total of GBP 24 million over the next 3 years. Turning now to Funkypigeon.com on Slide 30. Funkypigeon has recovered well since we last updated you. The market for greeting cards in the U.K. is substantial and estimated at GBP 1.6 billion with online penetration continuing to grow. We continue to invest in the business, and we see plenty of opportunities to grow the platform. We have launched a new Funkypigeon app, invested in platform enhancements, extended our gifting ranges, and following a very successful Mother's Day earlier in the year, we've seen an increase in flower ordering. We have also extended the fulfillment capability to meet demand with a production facility in Swindon, leveraging our group assets. And we are really pleased with the performance of our next-day delivery service 7 days a week, which has received very positive customer feedback. So we continue to see plenty of opportunity to grow this business. Turning to the next slide and our ongoing focus on ESG. We have excellent sustainability credentials, and we've made good progress in the past 12 months. We were the top-performing specialty retailer in Morningstar Sustainalytics ESG benchmark in the year. And we were included once again in the Dow Jones World Sustainability Index. We have set our target to achieve net 0, and we've continued to invest in energy-saving measures such as LED and chiller replacements, and have reduced Scope 1 and 2 emissions by 60% since 2007. The need for literacy support for disadvantaged children continues, and we continue to invest in our partnership with the National Literacy Trust. During the year, we've been delighted in seeing a resurgence in children's books with a particularly strong World Book Day. And finally, we have enhanced our sustainability governance, introducing an ESG committee of the Board, and we have included ESG measures in our senior executive short- and long-term incentive plans. So before I summarize, I thought I would play you a quick video showcasing our stores across the globe. So looking ahead, and as I've said, the group is now in its strongest ever position as a global travel retailer. We have won some significant new business across the globe and we have a very strong pipeline of 150 store openings across the next 3 years. In line with most interesting commentators, we too expect passenger numbers to recover fully by 2024. We have seen a strong rebound in profitability coupled with an encouraging start to this financial year, and we expect to see substantial further growth in profitability in the current year with North America becoming a more significant part of the group. Just to reiterate, the growth opportunities are substantial. We now have a highly successful global technology business with InMotion, with stores opened or won across 6 countries outside of the U.S. We are very conscious that the economic outlook remains uncertain. However, we are a profitable, cash-generative and innovative group. And as always, we remain focused on creating value for our shareholders, and we are optimistic about the current financial year and beyond. The resumption of the dividend today reflects the strength of current trading and high levels of confidence in the future prospects of the group. So that's it for me. Thank you, and we will now take your questions starting with those of you in the room.
Harry Gowers: It's Harry Gowers from JPMorgan. I've got a few. Just on Continental Europe, clearly a lot of focus and success there recently. Maybe if you could give us a sense for the competitive landscape in Europe and market share at the moment on the continent. What's been like the catalyst there for a bit of a step change? Is it just a localized offer which is driving that? And then, Robert, a lot of new sites coming online clearly in the next few years. So maybe you could talk a little bit about the returns on the new space you expect compared to historical levels. Has there been anything during COVID, which means structurally the returns can actually better than historical? And then just finally on North America, first store in U.S. rail, is this a new big growth opportunity that we should be thinking about? And clearly, you don't have the scale there that you have in the U.K. currently, but any different dynamics there compared to the U.K. rail market? That's it.
Carl Cowling: Okay. I'll take the first and the third, and you take the second. So in terms of Continental Europe, I guess there's 2 things. First of all, we've had a presence in a number of countries for a while, but only in a few stores. Spain is a really good example where we won a store in Alicante Airport about 7 years ago. And we now have 50 stores in Spain. We've managed to consolidate that position and we've managed to win tenders there. And I think we're able to win tenders in very competitive markets because we're able to demonstrate that we have a much higher pound per square meter in terms of revenue generation. And that allows us to get ourselves into those stores and win tenders. I think what's more interesting though recently in this financial year is our ability to win tenders in new markets. And what we've done is we've bought our way of doing things from the U.S. over to Europe, the way of doing localized store design. And a really good example of that is Brussels and Oslo, where instead of just doing a bulk standard WH Smith, we've really gone into the local cities, we've really tried to bring sort of the essence of the city into the store design. And the landlords have been really wowed by that and they've seen that as a really good alternative to the standard sort of cookie-cutter approach that they get from other retailers. So I think that's going to be an increasing theme in terms of bringing sort of a localized version of WH Smith to some of those airport environments. So I think we're very optimistic about future growth opportunities in Europe. Robert?
Robert Moorhead: So in terms of returns, no real change to what we have before. I think the way we look at our investments is exactly the same way. And we look for a pretty quick payback, we're looking for a decent IRR ahead of our cost of capital. No real structural changes to what we have before. There are some efficiencies, opportunities that we can put into the cost base in places like North America with rolling out [ SCOS ], and that all helps in the returns, but nothing particularly different to what we had before. It's a good investment. It returns quickly and there are higher levels of return.
Carl Cowling: In terms of the American question, we're very pleased with the performance of Moynihan Station in New York. We are going to open another station store at Penn Station, which is just down the road from Moynihan. There are other opportunities on the east case. I don't think it's going to be a business that's as big as our rail business over here. I don't think there's going to be as many opportunities, but it is a nice format to have. And it may be an interesting step in saying to other things.
Richard Chamberlain: Richard Chamberlain from RBC. Can I ask a couple, please, I guess, sort of cash flow related? Robert, can you just maybe just give us a bit more of a breakdown on the CapEx? I think it's GBP 150 million, isn't it, over the next year. What are the major sort of buckets there? Does that include any significant infrastructure investment upfront? And then again on the cash flow, I just wonder how you're sort of feeling about the composition of inventory alone including seasonal product. And I think there was an increase in receivables as well. What was behind that?
Robert Moorhead: In terms of CapEx, Richard, the major part of that is going on new stores, as you would expect. So that's around GBP 80 million to GBP 90 million of that. We'll spend around GBP 20 million to GBP 30 million on maintenance. And then we're investing in IT and Funkypigeon obviously is going to get a little bit more than it has in previous years. So as far as rolling it all together, IT is probably GBP 10 million and then we'll spend another GBP 10 million on energy and chiller replacement and on investments to reduce the sort of the energy usage. So it's mainly on new stores. And then in High Street, it's mainly on maintenance as you'd expect and sort of IT replacement. And in terms of inventory, I don't think we've got any -- we haven't got any concerns about our inventory. We're well placed for Christmas. The stock is in the country and ready to go into the stores if it's not there already. So no concern about inventory levels. In terms of receivables, that's just the ebb and flow of working capital. There's nothing of significance in there.
Tony Shiret: Tony Shiret, Panmure Gordon. Well done. A few things. First of all, the sort of localization of formats that you're discussing, conscious that in the U.K., your formats have sort of tend to develop on a sort of profit-driven type of basis rather than necessarily anything else I guess. I just wondered if the U.S. team has had a look at your U.K. stores and was there any sort of new ideas or whether there might be some sort of way in which you could improve the productivity of the U.K. stores on the base of what you're finding in the U.S.? That's the first question. Secondly, I just wondered if you could comment on the length of your franchises in the travel business and particularly whether over the years you've sort of extended the U.K. sort of franchise lengths that goes to certain various airports. Are you able to do -- or have you been successful or trying to do that with the U.S. airports? And that will be enough for now.
Carl Cowling: In terms of -- I think it's very interesting, the differences between the U.K. and the U.S. I think what we see in the U.S. that really works is that entrepreneurialism and their ability to localize formats. And we think that taking some of those learnings and bringing them outside of the U.S. into Europe, into Asia and also into the U.K. in terms of how we win more space is really important. However, the other side of retailing is the planning of every square meter really understanding how to widen ranges, how to use every square meter and how to drive margin. And there's a lot that can be done in America from our U.K. business to improve those dynamics. So if you would like, we're sort of exporting from the U.K. into the U.S., the way of doing retail in the commerciality and we're bringing out of the U.S., the entrepreneurialism in terms of store design. And hopefully, what we're seeing as we -- and obviously, I make it sound very simple. But doing that over time, we should get the best of both worlds. And that's really what we're aiming for. And I think the highlight of that in Europe has been Brussels and Oslo, where we probably wouldn't have won those tenders had we not have had the localized store design. And the performance that we're seeing in some of our U.S. businesses, particularly in the Las Vegas stores, a lot of that performance relative to customer flow is around increased basket penetration and increased ATV, which is initiatives that we brought over from the U.K. In terms of the length of contracts, I mean we don't get into specifics. We don't like contracts coming up to an end. So we do whatever we can to avoid that in terms of negotiating extensions. And we certainly don't have any form of a cliff coming towards us in terms of contracts that are due. In terms of America, the contracts tend to be a lot longer and the CapEx is higher when you're fitting out an American airport, but the contracts tend to be longer. And obviously for us, we're keen to have as long a contract as possible.
Tony Shiret: So just for some numeric context on that sort of 2 years versus 5 years or…
Carl Cowling: Well, it can be more in the U.K. We don't get specific because we wouldn't like our competitors to sort of pin us down. So there's quite a variation, but yes, contracts tend to be quite a bit longer in the U.S.
Ali Naqvi: Ali Naqvi from HSBC. Just on your contract growth pipeline, are there any markets that you're particularly concerned about or where you maybe rationalize your estate or are you happy with most of your contract markets there? And then most of your competitors or peers, they seem to talk about flexible minimum rent contracts going forward into new contracts that they win. Is that something that you have as well and at what point do those kick in? And then finally, there's a lot of consolidation in the market. I suppose what would you do short term to participate in that if there's an interesting deal? How much would you extend your leverage to participate in consolidation?
Carl Cowling: Okay. In terms of rationalizing, so I don't think there's any markets that we want to pull out of. We're in lots of great markets. Our growth, our CapEx growth in terms of fueling new stores is largely U.K., Europe and North America. That's where our investment is and that's where our real growth driver is. So there aren't any markets that we operate in that we want to withdraw from. In terms of flexible minimum competence, we too have that as well. And one of the features of COVID was minimum rent guarantees, largely going from being fixed to being fixed to the ones of passengers. And wherever possible, where we're signing up to guarantees, we would like to have that passenger sort of number in there as well that say, well, actually passengers dropped by 50%, so would the minimum guarantee. So absolutely in line with other travel retailers, we're absolutely focus on there. We need to have an extremely good reason why we wouldn't do that for us to participate in any new contracts. In terms of consolidation in the market, I mean we've got -- we've done a hell of a lot over the last 4 years. We bought 2 businesses. We bought InMotion. We bought MRG. We've successfully integrated those 2 businesses together and we're growing our American business at a pace. And we're also growing our business in the Rest of the World. I mean, we've got 150 stores that we've got to open. So organically, we're growing at a rate of knots in markets where we still have quite a small market share and where I would say there's quite a bit of clear air between our proposition and our team main competitors. So I think we have a lot of growth to go after organically. However, as a business, we're always mindful of what's going on in our markets. We're always looking at other opportunities. And if one of those opportunities arose and it was the best thing for creating value for our company and for our shareholders, then obviously we would look at that. But at the moment, we're really concentrating on the growth that we've got on the table.
Harry Gowers: Maybe if I squeeze one more in. It's Harry from JPMorgan. Just basically on the High Street, clean acceleration in revenue trends over the first 10 weeks of the year versus Q4 against 2019. Do you think you can hold around that 87% of 2019 levels? And are we seeing some kind of reversal here with footfall basically coming back into shops away from online. So maybe talk about physical stores versus Funkypigeon in there?
Carl Cowling: We're not really seeing anything different than we expected from our High Street business. We always thought there would be a rebound in footfall versus last year because there was still an element of nervousness last year and that can be seen in the online numbers. So our High Street business is performing in a good place compared to that. In terms of the trends of the High Street, I think they remain as the same. So I don't think we read anything new into it. I think it's kind of just where we need it to be and just where we expected it to be.
Tony Shiret: Just keeping the party going. Funkypigeon, can you give us a bit more color on that. And maybe talk about whether it's sort of informing your views wider across the group, probably not. But maybe some discussion about what's working in terms of marketing and stuff like that. How much organic traffic you get and what you think about SCM, just a few bits of detail?
Carl Cowling: Well, our Funkypigeon business has recovered well since the cybersecurity incident and we're in a good place now. We are really beginning to ramp up to Christmas. They are on TV with Funky at the moment. We're on TV and that's all the way now up until Christmas. So we've got a very good and strong brand campaign in place. We're really focusing on simplicity. We're focusing on cards, and we're focusing on the gifting with cards. It's a great market, the card market, it's GBP 1.6 billion. It's really underpenetrated. And there's a real reason to buy cards online because you can personalize them. So if anything, there should be a higher penetration online than other retail categories. So that's where our focus is, Tony. We've been really simplistic at the moment and gunning all of our marketing money around attracting customers to the site to buy a card and then attaching wherever possible. We've done a good job of sort of re-engineering our attachment and say we've got great attachments of flowers. We are much better than we've been in the past in terms of our ability to get cards and products to customers because we've expanded our production facilities into Swindon. We've got new partnerships, new delivery mechanisms to get cards to people in a quicker way. So when we think about Christmas, we're in a much better position, I would say, than we have been in previous years. And that should set us up well because then after Christmas, of course, we've got the 3 peaks of Valentine's Day, Mother's Day and Father's Day.
Tony Shiret: And in terms of how you attract the customer, your marketing budget as a percentage of sales and percentage it's ATL versus SCM, that's sort of stuff?
Carl Cowling: Yes. And a big chunk of our sales come from our current database. So a big proportion of sales within Funkypigeon are from a very good and strong and loyal live database.
Tony Shiret: Didn't realize you had a database.
Carl Cowling: We have a very substantial database. Thank you.
Tony Shiret: Is that just the funky Pichon customers or of some wider group of customers?
Carl Cowling: Sorry?
Tony Shiret: The database, just interested to know whether you have a sort of single customer view of --?
Carl Cowling: We have a single customer view for Funkypigeon. They're signed up. The Funkypigeon customers are Funkypigeon customers. We do obviously also have whsmith.co.uk and we actively market to those customers as well. The Funky database is much bigger and much more active. Should we go to questions outside of the room or any -- I don't know how this is going to work, but I'll wait with interest. Is there a voice of God that suddenly comes?
Operator: [Operator Instructions] And our first question Jonathan Pritchard of Peel Hunt.
Jonathan Pritchard: It's just about sort of the intensity of the pitch process at the moment really, especially at the stage. Obviously, there's a lot of business coming up for grabs. Of the competition, I mean imitation is the sincerest form of flattery and you talk about the uniqueness of the proposition, but it's little bit sort of secret sauce again, again, that means that they can't just sort of try and copy the format that you have. And then a sort of linked question to that on self-scan. We don't see that very much in the States. Is self-scan something where you have a competitive advantage and that might help you in the States or has everyone got the same access to the same machines and it's much of a matter?
Carl Cowling: Well, in terms of your question on the pitch process. I mean, if anything there's a bit more clear air for us in the U.S. because when we're pitching to landlords now, we're able to show them lots of examples of stores that we've opened. So stores like [ Barry Bay ] that you could just walk through, the stores that we've got in San Francisco and Denver and in Salt Lake City. We can show them videos of these stores. We can show them the personalization. We can show them what we've done. And that really brings to life the proposition where we're pitching to those landlords. And increasingly, U.S. landlords and also increasingly landlords outside of the U.S. and into Europe are wanting something that's not just about financial results. They do want something that says something special about their airport and their city. And I think we're still in pole position in terms of how we do that. We stand still at our peril, of course. And we're constantly innovating and looking for new ways of doing things, looking for new ways of finding partnerships. But as things stand, there's still good clear air in terms of our categories in terms of going after that proposition. And our job as a management team is to make sure that we hold that clear air. In terms of self-scanning tills, self-scanning tills do actually exist in the U.S. I mean, Walmart, CWS, they all have self-scanning tills and the supermarkets. So it's not actually a new thing for U.S. consumers. Yes, it doesn't exist though in U.S. airports. So we've put it in now to a number of stores. We've had no adverse customer feedback at all. The primary reason for doing it is it reduces costs because we don't need quite the labor cost where we've got self-scanning tills. But as we saw in the U.K. when we first did it, sort of 6, 7, 8 years ago, we are also seeing an uptick in sales because customers wondering past these stores, they're not seeing cues in quite the same level. And you'll all have been into U.S. airports, you quite often see long snaking queues in U.S. airports because you have that sort of central till dynamic because we're doing self-scanning tills and therefore able to introduce more tills. We're reducing that key time and as we get into peak points of trading, that should really benefit us. So we're pretty pleased with self-scanning. We're going to -- we plan to roll it out aggressively in the U.S.
Operator: The next question goes to Kate Calvert of Investec.
Kate Calvert: 2 from me. The first one is on your new store opening plan. So you opened 98 last year and I think you got 125 planned for the current year. I'm just wondering why you're expecting this to drop off the sort of 50 to 60 new over the year going forward? And my second question is, just as a bit more color on acquisitions. Could there be further opportunities for add-on acquisitions in the U.S. or are the acquisition opportunities out there likely to be in other channels or regions?
Carl Cowling: So in terms of the new store owning plan, a lot of tenders came up over the COVID period. And there was quite a delay in opening stores. So we do have a particularly large pipeline at the moment. We don't have lots of forward sites into future tender opportunities. Landlords, whether it's Europe, the U.S., the U.K., they don't tend to publish a notice of putting a tender out there. They do it in their own time. And so we don't have any forward calendar of tenders coming up. So you have to take a fairly prudent view in terms of how much you're going to win. Hence, why we're saying 50 to 60. And we're looking at the amount of stores we want pre-COVID. We backed ourselves to win some more than that, but we have to be prudent and think, well, actually there might not be as many tenders coming up each year over the next few years. So we just need to be a bit cautious. But at the same time, we need to be very ready that if more opportunities do come up, that we're able to take advantage of those, and we certainly will do that if that does manifest itself. In terms of the second question, Robert?
Robert Moorhead: Kate, I think if there were going to be small add-on acquisitions, it's most likely that they would come out of North America, but there are other small businesses in Europe that do exist in our markets. What I would say is though we've got plans to be getting on with at the moment. And we've got 150 stores to open. So there's plenty for us to be doing right now.
Operator: [Operator Instructions] And our next question will go to Richard Taylor of Barclays.
Richard Taylor: A question on margins, please. As revenue recovers in travel, can you give an update by each of the areas for U.K., North America and Rest of the World in terms of sort of where you could see fully recovered margins, not specifically this year but into the medium term? Has anything changed there?
Robert Moorhead: So in terms of the sort of the EBIT margin recovery, I mean, we're -- it's a complicated picture in terms of that there are 3 moving parts and the 3 divisions that operate slightly differently. So if I just sort of run through them individually. In terms of the U.K., I mean you'll remember we have market-leading EBIT margins pre-pandemic. They were around some 17%. We've now rolled out InMotion. That's a good business, but it does dilute the overall EBIT margins by around 100 basis points. At the moment, I think we're sort of around 14% in U.K. Our goal is to get back to those pre-pandemic margins in the U.K., adjusting for InMotion, and that's certainly the goal and the target. In terms of North America, that has low teens EBIT margins. We would expect to see some accretion as we roll out more business, and we can get some leverage benefits in the fixed costs as we grow that. So small levels of accretion, I think, over time. And in terms of the Rest of the world, I think pre-pandemic, that was around 7% EBIT. This year, it's probably a bit lower. It's because we're opening so many stores and it's not fully recovered. You'll be aware, Australia and Asia has still got some way to go in terms of recovery. So we're not getting that leverage benefit from that part of the world at the moment. So those lower EBIT should improve as recovery happens and we open the new stores and the cost of opening the new stores sort of worked its way through the numbers over the next couple of years. So I can see that division accreting from the 7 that we had pre-pandemic up towards double digits over time. And certainly, a bigger move in this year and next year as those -- all those stores get opened and they mature. So net-net, you kind of end up back to where we were pre-pandemic for travel as a whole and the sort of the margin -- EBIT margin for the Travel division as a whole, but it's a business that's significantly bigger. It's got significantly greater growth opportunities than we had pre-pandemic.
Operator: And the next question goes to Owen Shirley of Berenberg.
Owen Shirley: Just a follow-up on your automated checkouts, please. That seems like a bit of a sort of open goal for you. So I just wondered if you could give us some more color on how many years you've been rolling those out in the U.S., what the kind of total capital cost might look like and the type of returns you would hope to get any sense of the kind of total labor bill currently on checkouts in North America? So overall percentage any context that can help us to put some numbers around that opportunity?
Carl Cowling: And the short answer to the question is that we haven't got that answer at the moment. So we -- it's a pilot at the moment. So we're doing it in about 4 airport terminals. We haven't -- all the signs are very positive. We need to give it probably another month, another 2 months, and then we'll look at how we roll out. And our plan will be, I think, to aggressively roll out because obviously, there will be synergies through buying all of the tilling in one go. But we're a month or 2 off being able to refine those numbers and -- because we just need to work through it over the next couple of months. Robert hasn't had time to fully interrogate it yet. And -- but we're both actually over in the U.S. next week and that is one of the topics for discussion with the team in terms of where are we, do the numbers make sense, how quickly are we ready to go after Christmas.
Owen Shirley: Any comparison to the U.K. in terms of when you did this in the U.K., the kind of returns it generated?
Robert Moorhead: I would say, Owen, at this stage, it's delivering levels that are not the same as what we saw in the U.K., and I think that sets us up well for the discussions going forward and the size of the opportunity. But it is, as Carl said, it's very early days. Some of these have only been in place for a couple of weeks. So we're just learning about how the dynamics might be different between the U.S. and the U.K. But at this stage, we're optimistic that this is a -- this will be a good investment and a reasonably quick payback.
Operator: We have no further questions on the phone lines.
Carl Cowling: Good. Thank you, everyone. Thanks for all of those of you who weathered the underground strikes and came in. Thank you. See you soon.